Operator: Good morning, and welcome to Procter and Gamble's Quarter End Conference Call. Today's discussion will include a number of forward-looking statements. If you will refer to P&G's most recent 10-K, 10-Q and 8-K reports, you will see a discussion of factors that could cause the company's actual results to differ materially from these projections. As required by Regulation G, P&G needs to make you aware that during the call the company will make a number of references to non-GAAP and other financial measures. Management believes these measures provide investors valuable information on the underlying growth trends of the business. Organic refers to reported results excluding the impacts of acquisitions and divestitures and foreign exchange where applicable. Adjusted free cash flow represents operating cash flow less capital expenditures and excluding tax payments for the pet care divestiture. Adjusted free cash flow productivity is the ratio of adjusted free cash flow to net earnings adjusted for impairment charges and Venezuela charges. Any measure described as core refers to the equivalent GAAP measure adjusted for certain items. Currency neutral refers to the equivalent GAAP measure excluding the impact of foreign exchange rate changes. P&G has posted on its website, www.pg.com, a full reconciliation of non-GAAP and other financial measures. Now I will turn the call over to P&G's Chief Financial Officer, Jon Moeller.
Jon R. Moeller - Chief Financial Officer: Good morning. As you know, earlier this week, we announced that David Taylor had been elected and appointed as the new Chief Financial Officer of the company, which becomes effective November 1. And sorry, Chief Executive Officer. And so joining me this morning is A.G. Lafley. I'm going to start a discussion with a review of the fiscal year and fourth quarter results. Then A.G. will discuss our business strategy and ongoing moves to transform the company, and I'll close with guidance for fiscal 2016. One reminder before we begin, unless noted otherwise, the organic sales and core earnings results we're reporting today continue to include the beauty categories that we're in the process of exiting. The results of these businesses will be recorded as discontinued operations starting with the first quarter of fiscal 2016. In September, we'll provide an informational 8-K presenting historical results of these businesses as discontinued operations. Another important accounting item to point out before we get started is the decision we've made to move from consolidation accounting to cost method accounting for Venezuela in our GAAP financial statements. While this decision is effective for periods beginning July 1, it entails a one-time non-core write down of fixed assets, cash and receivables of about $2.1 billion, or $0.71 per share that's reflected in our fourth quarter 2015 numbers. We're committed to continue to serve Venezuelan consumers. The change we've made to our accounting simply reflects our continued inability to convert currency or pay dividends. Now on to our discussion of 2015 results. We accomplished four things in 2015. First, we delivered strong double-digit constant currency core earnings per share growth and very good free cash flow productivity, over 100% on modest organic top line growth. Second, we continue to make strong productivity gains across the board, income statement and balance sheet, with many more opportunities still in front of us. Third, we largely completed the reshaping of our portfolio in less than one year, refocusing on 10 categories and 65 brands that best leverage our core competencies with leading global positions and historically superior top and bottom line performance. This positions us over time for stronger top and bottom line growth. Fourth, we continue to invest in our future and more dedicated selling resources, in product innovation and brand building, and in transforming our supply chain. For the fiscal year, organic sales grew 1%. Excluding the businesses we're in the process of exiting, organic sales grew 2%. All in sales were down 5%, including the 6 point headwind from foreign exchange. When we had to make choices between the top and bottom line, for example, the price for foreign currency rather than shift volume at a negative gross margin, or to continue unprofitable non-strategic product lines, we've deliberately placed emphasis on driving value creation and cash. Core operating margin was 19.3%, in line with the prior year despite 130 basis point challenge from foreign exchange. On a constant currency basis, core operating margin was up 130 basis points. Productivity savings contributed approximately 330 basis points to core operating margin expansion for the year. Core gross margin, including foreign exchange, grew 30 basis points. On a constant currency basis, core gross margin was up 80 basis points. We delivered this margin and progress while making important investments in the business. As I mentioned earlier, we've increased investments in sales coverage. We're investing in innovation, in the upstream innovation pipeline and behind recent launches, PODS, beads, Pampers Pants, Gillette FlexBall and Venus Swirl, launches which both create and build markets. We're investing in the supply chain including the start-up of six new US mixing and distribution centers. We invested in a new business with our market expanding entry into the adult incontinence category. Core earnings per share for the year were $4.02, down 2% versus the prior year. This includes a 13 point headwind from foreign exchange, over $1.5 billion after tax. On a constant currency basis, core earnings per share grew at a double digit 11% rate. On an all in GAAP basis, earnings per share were (6:12) $2.44. This includes non-core restructuring costs, battery business impairment charges and the Venezuela charge. We continue to be one of the strongest cash generators among competitive peers in comparable mega-cap companies. We generated $11.6 billion in adjusted free cash flow with 102% adjusted free cash flow productivity, increasing our dividend for the fifty-ninth consecutive year and returning $11.9 billion in cash to shareholders, $7.3 billion in dividends and $4.6 billion in share repurchase, 105% of adjusted net earnings. Over the past five years, we've returned $60 billion to shareholders, $12 billion a year on average, and intend to pay dividends, retire and repurchase shares worth up to $70 billion over the next four years. Two important drivers of our strong cash generation have been a reduction in payables from the broad implementation of our supply chain financing program and our work to reduce inventory levels. Inventory days on hand are down 5 days on a constant currency basis, 7 days all in. Moving from the fiscal year to the quarter, organic sales grew modestly, rounding down to a level that was equal to the prior year. Organic sales of our 10 core product categories grew 1%. The quarter was also heavily impacted by 1 full point from market dynamics in Russia. All in sales were down 9%, including a 9 point headwind from foreign exchange. Core gross margin and core operating margin both improved, on both an all in and ex-currency basis driven by productivity savings. Core gross margin increased 110 basis points for the year. Excluding foreign exchange, core gross margin was up 130 basis points. Cost savings of approximately 220 basis points, pricing benefits of 140 basis points, and 40 points for lower commodity costs more than offset 170 points of mix. Core SG&A costs as a percentage of sales increased 10 basis points, as 130 basis points of productivity savings were more than offset by reinvestments in dedicated sales coverage and in our innovation pipeline by foreign exchange and other impacts. Core operating margin was 18.1%, up 90 basis points versus the prior year. On a constant currency basis, core operating margin was up 130 basis points. Productivity savings contributed 350 basis points to margin expansion for the quarter. Non-operating income was $300 million, above year-ago levels driven by gains from minor brand divestitures. The core effective tax rate was 19% for the quarter, 21% for the fiscal year, consistent with our outlook. Core earnings per share were $1, up 8% versus the prior year. This includes a 14 percentage point foreign exchange headwind, roughly $370 million after tax. On a constant currency basis, core earnings per share grew 22%. Excluding the non-operating income gains versus last year, constant currency core earnings per share was up 12% for the quarter. On an all in GAAP basis, earnings per share were $0.18 for the quarter. This includes $0.07 of non-core restructuring costs, $0.04 of earnings loss from discontinued operations, and the $0.71 per share Venezuela charge. We generated $2.9 billion in adjusted free cash flow, yielding 106% adjusted free cash flow productivity. The strong constant currency earnings growth and cash flow has been driven by our progress on productivity. As of July 1, we've reduced non-manufacturing overhead roles by 22%, more than double the original target set in February 2012 and a year earlier than planned. We're currently targeting a 25% to 30% cumulative reduction by the end of fiscal 2017. This excludes role reductions from divested businesses which would increase this figure to over 35%. We generated $1.5 billion of cost of goods savings in fiscal 2015, contributing 200 basis points of gross margin improvement. We improved manufacturing productivity by 5%, bringing cumulative past three year manufacturing enrollment reductions to 15%. This includes new staffing necessary to support capacity additions. On a same site basis, manufacturing enrollment is down nearly 20% over the past three years, enabled by technology and our integrated work systems approach. We're still in the early stages of our supply chain transformation. In fiscal 2015, we completed the construction and start-up of six new distribution and mixing centers, all on or ahead of schedule and under budget. We expect to complete the conversion out of our legacy locations later this calendar year. We announced the construction of a new multi-category manufacturing facility in West Virginia and a major expansion to an existing manufacturing site in Utah. Several plant closures were also announced, all early steps in the resiting and replatforming of our North American manufacturing system. We're taking similar steps in the European supply chain. We announced the consolidation of distribution centers in France and the UK and consolidation of manufacturing for some home care products at our plant in Italy. We continue to see a $1 billion to $2 billion value creation opportunity from the global supply chain reinvention effort. We're targeting to build over time to annual savings of $400 million to $500 million and are expecting additional top line benefits from customer service enhancements and reductions of out of stocks. Marketing spending is another area where we are delivering more, greater reach, higher frequency, more advertising for less overall cost. The savings are coming primarily from non-working marketing spend. One example are the fees and production costs for agencies we use for advertising, media, public relations, package design, and development of in-store materials. We're simplifying and reducing the number of agency relationships while upgrading agency capability to improve creative quality and communication effectiveness all at a lower cost. Our overall agency costs in fiscal 2015 were down about 15% versus the prior year. In Brazil, we consolidated agencies and delivered a 50% reduction in spending. In US hair care, we reduced the number of shopper and consumer marketing agencies by a third and lowered total agency spending by 20%. In another beauty category, we consolidated to a single global agency for digital marketing, reducing spending for these services by more than 75%. In total, we reduced the number of agencies by nearly 40% and cut agency and production spending by about $300 million versus the prior year. Tier 2, there's more savings ahead of us, most of which will be reinvested in stronger advertising programs. Moving from productivity to portfolio, as I mentioned at the onset, we've made excellent progress on plans to strengthen and focus our business and brand portfolio. On this call last year, we said we were targeting to become a company of about a dozen product categories comprised of 70 to 80 brands over a two-year period. At the CAGNY conference in mid-February, we updated plans to focus on 10 product categories and about 65 brands. With the beauty brands merger with Coty announced earlier this month, we have essentially completed the strategic portfolio reshaping. We've completed the decision making, negotiation and contracting work on businesses that represent 95% of in scope sales and essentially all of the in scope profit. At the close of the beauty brands merger a year or so from now, we will have focused our portfolio on 10 categories and 65 brands that best leverage our core competencies. We have leading global positions in these categories with consumer-preferred products and leading brands in the largest markets. These businesses and brands have historically grown faster and have been more profitable than the balance. As we're able to focus all of our energy on these leading businesses, which benefit from our core strengths, and as we invest productivity savings and profitable growth, we expect to improve both top and bottom line performance. With that, I'll turn it over to A.G.
Alan G. Lafley - Chairman, President & Chief Executive Officer: Thank you, Jon, and good morning everyone. This morning we're going to talk about the choices we've made, are making and will continue to make to drive growth and value creation as measured by operating total shareholder return. Every choice we take, every move we make is intended to accomplish one of three things: increase shopper and consumer preference for P&G brands and products, improve operational effectiveness and executional excellence, develop more balanced, reliable, sustainable growth and value creation. We are rebalancing and refocusing this company to reinvigorate it and accelerate growth in value creation. We use zero-based goals and strategies, reorganization, core capabilities, and the systems required to win. At P&G we are successful when we win with shoppers and consumers when we provide consumer-preferred brands and products that become leading value creators in their categories of business. The best, most balanced and integrated measure of value creation is operating total shareholder return. A foundation building block of OTSR is operating cash flow. Cash is the financial life blood of any company. Strong cash flow enables both reinvestment in the business and significant returns to share owners. The second building block is operating margin and profit. Our operating margins have begun to improve. They should continue to improve as we move into the 10 core category 65 brand portfolio and as we continue to deliver a steady stream of consumer-preferred product innovation and consistent productivity savings through the end of this decade. The third and last building block is net sales growth. Our results here obviously have been mixed. But we are making steady progress in most of the core business units. And we have detailed improvement and growth plans in place for the balance. Much of the sales growth is ahead of us. We have a strong lineup of new and improved products that are coming to market over the next one, two and three fiscal years. We believe more of the resulting sales growth will be sustainable. And we are learning that big obvious consumer meaningful product innovations can continue to grow sales profitably for three, five, seven and more years. The strength of OTSR is its actionability. It helps us prioritize business strategy choices, translate those choices to business building blocks and action plans that can be executed on a category and brand, country and customer, or even manufacturing plant sales rep or distributor basis. Operating TSR correlates with market TSR over time and aligns the interests of employees and share owners. The question for any company is not what businesses we are in but what businesses should we be in for the foreseeable future. As Jon said we chose 10 category-based business units where P&G has leading market positions, strong brands and consumer meaningful product technologies from which we can grow and create value, Baby, Feminine and Family Care, Fabric and Home Care, hair, skin, Grooming, oral and personal healthcare. These 10 categories have been growing 50 to 100 basis points faster than the total company. Their operating margins are up to 100 basis points higher. Where sales and profits are highly concentrated in a few big countries around the world, which makes the current business easier to operate. Yet every business unit, every category still has significant value creation opportunity in both our home US market and other big developed markets, Germany, Japan, et al., and in growing developing markets, the BRIC countries, Mexico, Turkey et al., markets where P&G has been continually improving its position. These categories and brands will continue to play to P&G's core strengths, shopper and consumer understanding, brand building and product innovation, productivity and go-to-market execution, and leveraging where appropriate and where it makes sense, the scale and scope of the company. As category leaders, we have the responsibility to create, occasionally transform and build these categories year in and year out. About two-thirds of all sales growth comes from category growth, and about half of that is driven by the manufacturer. That's us. The balance one-third comes from share growth and M&A. I want to take a few minutes this morning to report where we stand in each of the 10 category business units. First, Baby, Feminine and Family Care. After a drop-off in performance, both baby and family care delivered solid double digit OTS results in fiscal year 2015. And feminine care as you know, we have decided to invest in the Always Discreet entry into the incontinence category. Family care is excellent example of balanced, disciplined application of OTSR. It's a big, important North America business that got back on its proven business model and continued to improve structural economics while growing sales and market share at customers representing more than 90% in sales and profits, and focusing on the profitable premium care tissue business in Mexico, while de-emphasizing conventional lower value tissue products. With leading brands like Bounty and Charmin, consumer-preferred product innovation coming to market this summer and early next calendar, both on P&G's unique and proprietary technology and an operating discipline that relentlessly drives out costs and keeps the consumer value equation competitive, we expect another solid performance in fiscal 2016. Baby and fem care results have been more mixed. Very strong in North America where half of worldwide profit is made, mixed in Europe, weak in China. Pampers and Always brands are leaders in these categories with strong equities, household penetration that's growing and strong Net Promoter Scores. The focus in baby and fem is winning with consumer-preferred product innovation. These are categories where consumers notice and expect performance with every single product usage experience. We've invested significantly in R&D, new plants and equipment and will be investing in product sampling and trial, marketing, selling and sourcing as we accelerate consumer-preferred, better performing products to market. And next generation of Pampers Pants and the premium taped diaper line are going to market in China and the US as we speak, achieving the same share of the faster growing pants segment as we have on taped diapers over the next few years could be worth as much as $2 billion to $3 billion in sales over time. Over the next one to two years, there will be a steady drum beat of product upgrades across Pampers and Luvs in North America, Always and Always Discreet, every one of them consumer-preferred, several unique and proprietary. We continue to be encouraged by the progress we're making on Always Discreet. Category growth has accelerated 50% to 100% to 10% plus growth rates in the US, UK and France, though launched less than a year ago. Discreet's share has reached 7% to 9% in these markets. Importantly we are attracting new women to the category. Recall, women are not satisfied with current product offerings that don't work very well. Discreet pads and pants deliver better fit and significantly better protection from an Always brand women trust. Product ratings and reviews, product usage satisfaction and repeat rates are all strong. With still an ample awareness and trial opportunity ahead of us, we will continue to invest in marketing, sales and consumer-preferred product innovation in this new category. Fabric and Home Care has been a tale of two cities from an operating TSR standpoint. Home care, Duracell and our $1 billion B2B Professional products business have all delivered strong value creation for now several years in a row. We expect this to continue because each category continues to adapt proven business strategies and models and operates with discipline to deliver balanced growth and value creation across all three OTSR drivers. In fiscal 2015, modest sales growth and strong profit growth and cash productivity resulted in another very solid year for home care. We carefully pick our spots in the home care category and segment. We have leading brands and consumer-preferred products. We continue to strengthen marketing and selling fundamentals while we improve productivity and structural economics. Duracell, in a year of significant transformation as we stand up an independent company with Marmon and Berkshire Hathaway, delivered a fourth consecutive year of strong operating TSR and market share growth, while divesting the more commodity-like low tier battery business in China. P&G Professional is a very focused jewel that delivered its sixth straight year of strong industry-leading OTSR results. PGP has a unique and proven business model that delivers superior service and value to its customers and delivers consistently for share owners. Fabric Care has been more challenging as we've talked, because it has involved a significant transformation of strategy and business model, capabilities and operations, and execution across a number of important markets starting with the ., the largest and most profitable market in the world, where we have had to get the category growing again and rekindle household penetration and share growth. We've gotten the strategy back in balance, sharpened our business model, and have been operating with consistency and excellence. We exited unattractive segments like bleach, unprofitable laundry additives, cheap low tier powders, and we invested significantly in consumer-preferred products. We've constructed new manufacturing in the last two years to enable the expansion of premium products like PODS and beads and concentrated heavy-duty liquids not only for the US, Europe and Japan but also for big developing markets like China and Brazil. We've stimulated category growth in the adjacent fabric conditioner category, the fastest-growing household products category over the last two years as reported by Kantar, and we have grown share behind the Downy and Lenor brand equities and innovative new products. With leading brands Tide and Gain and Ariel, Downy and Lenor, consumer-preferred products, and much more robust structural economics, we're looking forward to more balanced and more consistent growth and value creation in fabric care starting this year. These segments help Grooming and Beauty. These segments again as we have talked, are a tale of three cities. Oral care delivered another strong year of OTSR behind 4% organic sales and 10% profit growth with strong cash productivity. Oral care has evolved successfully to a well-differentiated business strategy, and has been steadily improving structural economics. We've clearly defined the strategic goals for Crest and Oral-B. We've expanded Oral-B toothpaste into over 40 countries, and continue to grow this business by over 20% in its sixth year since launch. We've created two strong premium-priced properties in Pro-Health and 3D White, each now above $1 billion in sales. We just launched Crest Pro-Health HD in the US, a unique and proprietary super-premium two-step toothpaste system that is off to a very strong start. We have another strong $1 billion business in Oral-B Power Brush, which grew double digits in fiscal 2015 and actually doubled off a relatively small base in China. There's still a lot of upside in the power brush segment as household penetration is very low. We're developing a business model that drives consumer trial and accelerates Oral-B growth. Personal healthcare has evolved to a very focused niche player in OTC. It turned in another very solid year of operating TSR behind 4% organic sales and 5% profit growth, and again strong cash productivity. Vicks, our $1 billion OTC brand grew sales double digits and profit a strong double digits behind its premium-priced cough/cold product line SEVERE. The Meta wellness initiative grew sales 15% and significant market share, and our new VMS brands, New Chapter and Swisse, are both off to a good start in lead markets. The Grooming business, as you know, is undergoing significant change, the biggest of which may be consumer habits and practices. This is no longer just a facial shave care business. It's becoming a broader grooming business, face and body. But still, the vast majority of sales and profits are in shaving. Grooming had a challenging year due to unprecedented FX impacts, significant trade inventoried stocking, especially in economically challenged countries like Brazil and Russia, changes in grooming fashions and habits, and the continuing growth of online competitors in some markets like the US. Despite the challenges, Gillette eked out modest sales and share growth and began to stimulate more category growth behind the Gillette FlexBall and Venus Swirl consumer-preferred product innovations. Both are off to a strong start and continue to roll out around the world. In the first year in North America alone, 15 million men have tried a FlexBall razor. Gillette's online Shave Club is off to a very good start. We're building partnerships with e-tailers and retailers who are offering their shoppers subscription tie-ins for the Gillette Shave Club. Importantly, we are helping retail customers move out of the lock boxes on shelves and at checkout and into much more shopper friendly cost and shrink-effective hard tags. This innovative in-store solution is better for shoppers and for retailers. And in the first several hundred stores, it's significantly improving in-stock and sales off-take. We'll be rolling out hard tags as fast as we can in the year ahead with our retail partners. Finally, we continue to replatform manufacturing to significantly improve productivity and accelerate the expansion of new product innovation. We've already announced and will begin shipping the next major new cartridge innovation on Gillette for men in January 2016. Turning to hair care, we've repositioned hair care for growth. As you know, we're exiting the salon service and retail colorants businesses. We've sold off small non-strategic brands like Fekkai and Wash & Go. We've invested significantly in product innovation and technology, brand building and sales, and we've importantly in a big way strengthened the structural costs and cash productivity in this business. Hair care had a challenging year, but progress is being made. Head & Shoulders grew global organic sales mid single digits for the twentieth year in a row and continued to build profit and cash value creation. Pantene modestly grew sales worldwide but importantly delivered 4% sales and modest market share growth in the US for the first time in several years. Pantene's 3 Minute Miracle conditioner product initiative is being expanded right now. More importantly, once in a decade, new shampoo and conditioner product innovations built on unique and proprietary technologies will begin to go to market this summer and continue to expand around the world over the next two years on Pantene, Head & Shoulders, and as appropriate on the local and regional brands in the portfolio like Herbal, Vidal, et al. P&G's remaining hair care portfolio consists of brands with real consumer equity. These brands will not only benefit from better performing products but also from more focus, better packaging, marketing and sales execution. As sales continue to pick up, the OTSR leverage will be significant, with operating margins now 50% higher than leading competitors and superior structural economics continuing to improve. Skin care and personal care, as you know, have been mixed bag. SK-II, our $1 billion super-premium skin care brand grew organic sales mid single digits and profits very strong double digits while executing its proven trial-building business model. Despite strong sales growth and very attractive margins, the SK-II team continues to sweeten the mix and improve the structural economics of this very unique business. The deodorants business behind Old Spice and Secret continues to grow steadily, organic sales high single digits and profit high single digits, leading to solid OTSR. In personal cleansing, we sold off Camay and Zest and narrowed our brand product line focus to Olay and Safeguard and to a handful of key countries. Across the above segments, we continue to improve structural economics and cash productivity. Operating margins are improving and free cash flow remains strong, above 100%. This is important because these three businesses are where the lion's share of the profit and cash are made. On Olay, we are committed to return to sales growth and to continued value creation growth in North America in fiscal 2016. We're back on our masstige strategy. We've narrowed our boutique and product line focus to Regenerist and Total Effects and new products consumers like, like Luminous, which has attracted new consumers and has been growing sales and market share. Right now, we're transforming the shopping experience with more streamlined assortments and easier-to-shop shelf presentations where at test retailers, category and Olay sales have both increased. The qualified new Olay brand campaign will break in the fall behind increased effective support across all relevant media. We're making progress in every one of our 10 core category businesses, albeit at different paces and never as much as we want. Each business is different with different opportunities and challenges, but better defined and proactively addressed. P&G performs best when we stay in balance, balanced across industries and categories, balanced across developed and developing markets, balanced in our need to deliver the near term with our need to invest and deliver the mid and long term. OTSR is clearly helping with a focus on balanced growth and value creation. Just as with the company, getting the business unit portfolio right matters. Many of our categories found themselves over-expanded or over-extended and have had to divest or otherwise dispose of non-strategic and under-performing businesses. The recent divestitures, as Jon said, representing about 5% of profits, 15% of sales and as much as a reduction of 40% to 50% in complexity, P&G and its 10 core categories are becoming much simpler businesses, easier to operate, easier to grow, easier to create value creation from. We're picking up the pace, not only of portfolio streamlining but also of core business turnaround. We've invested significantly in R&D, plant and equipment, branding and marketing, sales and sourcing. All of this has been enabled by productivity that will continue strong through the end of this decade. Going forward, productivity efforts will be more focused on specific business units, countries, functions and on the major marketing and trade spending pools Jon talked about earlier. Despite our sense of urgency and substantial investment, the breadth, scope and scale of the transformation underway will continue to see cash productivity, operating profit and sales growth unfold over time. But the progress will be steady, year by year, delivering balanced, reliable, sustainable growth and value creation as measured by OTSR. When you're building brands and businesses to last for decades, growth does not happen in a straight line. Even the strongest of brands hit flat spots. But when we get back to basics, the fundamentals, putting the consumer front and center, delivering consumer-preferred brands and products, executing with excellence, we put ourselves in a position to win year after year, decade after decade, successful brand building and product innovation, transformed and grown categories and created value for consumers, for P&G and its shareowners. The key going forward will be the robustness of our category business strategies and models, the strength of our brand and product differentiation and innovation and ultimately the quality, reliability and value of the performance and experience we deliver to consumers every day. Now I'll turn it back to Jon to provide details of our outlook for this fiscal year.
Jon R. Moeller - Chief Financial Officer: Thanks, A.G. First, a few more housekeeping items. The guidance we're providing this morning assumes the transitioning beauty businesses are accounted for as discontinued operations, and are not therefore included in core EPS for either 2015 or 2016 fiscal years. This is the same approach we've taken with Duracell. While the amounts are not yet final, we expect fiscal 2015 core earnings per share to be restated from the $4.02 level to approximately $3.77 per share. The informational 8-K we plan to issue in September will provide more detail, including fiscal 2015 quarterly income statements and segment results. Towards the end of the calendar year we'll provide a fully restated 10-K for 2015. While we'll no longer include the results from our Venezuelan operations in our consolidated results, the fiscal 2015 results will remain in our base period sales and earnings. This will create a minor drag on organic sales growth trends and a $0.05 to $0.06 per share headwind on core earnings per share growth. Next, some context for fiscal 2016. We have large positions, leading positions in several big markets where underlying growth has slowed, most notably China and Brazil. Foreign exchange will continue to be a significant sales and earnings headwind, particularly in the first two quarters. To offset the foreign exchange impacts and restore structural economics, we've taken significant price increases in some markets. We need to manage through the market contraction and volatility that naturally follow. We have disproportionately large positions in the markets most affected by FX. We're market leaders in Russia, the Ukraine, in Japan and in Venezuela. In contrast, many of our internationally domiciled competitors are benefiting from their weaker currencies, providing fuel for reinvestment. We need to be cognizant of this as we construct our own plans and as we contemplate guidance. We're not yet able to focus 100% on driving the 10 core categories we've been talking about. While the portfolio planning work is complete, we still own and are operating the transitioning brands including Duracell and the beauty brands. Some smart choices will also create top line pressure. We've mentioned previously, we're simplifying and strengthening the product form and SKU lineups for our core categories. As we de-prioritize our exit product forms, for example the more commodity section of the laundry business, laundry bars as an example, there has been and will be some pressure on organic sales growth. On the bottom line, I've mentioned FX. There will also be a drag in non-operating income as we annualize the small brand divestiture gains, and we will see a higher core tax rate. We'll continue to invest in increased sales coverage and in fast-growing retail channels and formats. We will increase our innovation, our investment in innovation pipeline, and in the examples of recent innovations like Always Discreet, Fusion FlexBall, Venus Swirl and the new diaper innovations that A.G. mentions that are coming to market now and in the next six months. We'll continue to invest in the supply chain, adding new capacity closer to consumers as our business grows and optimizing the supply chain in developed markets. Against this volatile backdrop, we think it's prudent to start fiscal 2016 from a guidance standpoint with relatively modest, relatively wide target ranges. We're projecting organic sales growth in line to up low single digits versus fiscal 2015. We've recently delivered towards the low end of this range. We certainly aim to improve, but it's unlikely that growth acceleration will happen immediately or in a straight line. And as I mentioned, there are market and competitive dynamics as well as internal choices that will continue to put some pressure on the top line. The headwind from foreign exchange will have a 4% to 5 percentage point impact on all-in sales growth. Also, minor brand divestitures will have a modest drag on all-in sales growth. Taken together, we expect all-in sales growth to be down low to mid single digits versus restated fiscal 2015 results. We expect to deliver solid operating margin expansion driven by another year of strong productivity-driven savings in cost of goods sold, overhead and non-working marketing and agency costs. Cost of goods sold productivity savings are forecast to be consistent with our annual run rate projection of about $1.2 billion. Commodities will also provide a modest benefit. These growth margin enhancers will be partially offset by foreign exchange. Based on last week's rates, FX will be a $350 million to $450 million after-tax headwind on fiscal 2016 earnings, or a 3 to 4 percentage point drag. This impact has two primary components. The spot rate impact of fiscal 2016 is expected to be a 7 to 8 percentage point headwind on core earnings per share growth. The spot rate impact should be partially offset by about 4 points of balance sheet revaluation hurt in fiscal 2015, but if current rates hold, will not recur in fiscal 2016. SG&A costs will also be a contributor to operated profit growth driven by continued overhead and marketing productivity savings and lower year-on-year charges for balance sheet revaluation. With this strong operating margin expansion, we expect to deliver core operating income growth of mid to high single digits. This includes the $0.05 to $0.06 per share drag on operating earnings from the Venezuela accounting change, and $0.02 to $0.03 per share of beauty deal transition costs that will remain in our core earnings results. So strong underlying operating earnings progress, which excluding the $0.08 impact from these items, should be up high singles to low double digits. Moving below the operating line, there are several items you should take into account as you construct your models. We're forecasting non-operating income to be a 2 to 3 percentage point drag on core EPS growth. We had a large number of minor brand divestitures last year, and the scope and pace of these deals will decrease this year. We're estimating a core effective tax rate of about 24% for fiscal 2016, about 3 points higher than the fiscal 2015 rate, due mainly to lower benefits from audit resolutions. Combined non-operating income and tax will be a $0.23 to $0.26 per share core earnings per share headwind in fiscal 2016, a 6% to 7% impact on core EPS growth. Finally, we'll retire shares at a value of approximately $8 billion to $9 billion through a combination of direct share repurchase and shares that will be exchanged in the Duracell transaction. We're now expecting the Duracell transaction to close in the first quarter of calendar 2016. This is a little later than our original projections as both parties continue to prioritize flawless execution over speed. We're starting fiscal 2016 with core earnings per share growth guidance of slightly below to up mid single digits versus last fiscal year's restated earnings per share of $3.77, again a wide and relatively modest range. All-in GAAP earnings per share should be up 53% to 63% versus the prior fiscal year GAAP earnings per share of $2.44. Non-core items in the current year will include non-core restructuring charges of approximately $0.15 per share and net earnings from discontinued operations of about $0.17 per share, which includes the after-tax profit from operations and transaction exit costs of the beauty and battery businesses. This compares to total non-core costs of approximately $1.33 per share in fiscal 2015. We expect another strong year of free cash flow productivity, 90% to 100%. Drivers of this strong cash productivity will include continued improvement of payables, including continued progress on our supply chain financing program and continued steady improvement in inventory levels. These improvements should offset an increase in capital spending as we invest in the supply chain transformation A.G. and I discussed earlier. We expect CapEx to be between 5% and 6% of sales for the fiscal year. We'll continue to build on our strong track record of cash and overall value return to shareholders. In addition to the $8 billion to $9 billion of shares we expect to retire, we expect dividend payments of more than $7 billion. In total, $15 billion to $16 billion in dividend payments, share exchanges and share repurchase. To briefly recap the key assumptions underpinning our fiscal 2016 outlook, this guidance assumes mid July foreign exchange rates and commodity prices. Further significant currency weakness is not anticipated within our guidance. Like 2015 then, we're setting up fiscal 2016 as a year, given all of the market and FX volatility and pricing, of modest top line growth, solid core operating income growth, relatively robust constant currency core earnings per share growth and strong 90% to 100% free cash flow productivity. We'll continue to tighten and implement our strategy on the core business, investing where appropriate to build capabilities for long-term success. We'll continue to drive meaningful productivity opportunities. We'll invest in sales coverage, innovation and the supply chain and we'll substantially complete the execution of our portfolio redesign. That concludes our prepared remarks for this morning. As a reminder, business segment information is provided in our press release and will be available in slides which will be posted on our website www.pg.com following the call. Now A.G. and I would be happy to take questions.
Operator: Your first question comes from the line of John Faucher.
John A. Faucher - JPMorgan Securities LLC: Thanks. Good morning. So you guys have delivered a lot on the structural stuff, sort of brand disposals, et cetera, and you're delivering on the productivity as evidenced by the gross margin performance. But unlike many of the other companies we all cover, the underlying business appears to be getting worse and maybe at an accelerating rate. So I think this could argue for two things. One, that the organization can't handle this much change at one time and you need to slow down. Or conversely, there needs to be a lot more and bigger change, structural leadership, et cetera. So you guys are obviously going with option three right now, which is to sort of stay the course with the initial plan. But why should we all feel comfortable that that's the right course given the results and a little bit to some extent the guidance? Thanks.
Jon R. Moeller - Chief Financial Officer: Well I'd say, John, that we're in the middle of executing that plan, course three as you've outlined, and are to a place where we have the full benefit of for instance being able to focus on the 10 product categories which we will as we get through the beauty transition. We're also in the middle of dealing with some very significant market level events, which are kind of outside the strategy completely. But we're the market leader in a lot of the countries that are difficult right now, Russia's an example, and as I mentioned, we've made a very deliberate choice. The choice we had in Russia was very simple. We could accept negative gross margins in perpetuity, or we could price to restore structural economics so that future growth would be worth something. And that's the choice we've taken there as in other markets. And it's had a significant impact as we expected. So if you look at the month of June for example, our sales in Russia were down 57%, and we've got to work our way through these things. But we're taking an approach that we're convinced is the right approach for the long term. As A.G. mentioned as well, the innovation pipeline which we've been investing to accelerate, that acceleration is going to start hitting the marketplace as we go through the next year, which will help as well. And then ultimately at some point, we get to a place where FX isn't as much of an issue on either the top or bottom line, and we continue to deliver productivity savings which allow us to reinvest behind this innovation and grow faster. We clearly recognize the need to grow faster. We think we're making the choices that will allow that to happen in a sustainable way over the long term. We're not going to get there in the next quarter or two. But we do expect sequential progress as we move through next fiscal year.
Alan G. Lafley - Chairman, President & Chief Executive Officer: John, I'd just add two quick ones. On your first direct question, I actually think the employees, management and leadership has really stepped up. I won't bore you with all the details of what it takes to operate in Russia, Ukraine, Argentina, Venezuela, even Japan, okay, and a whole host of other developing markets. But in virtually every case, we are making the right decisions and frankly building our value creation. We've switched countries like India from a significant negative profit position to making basically $100 million, okay, in two years, all right. Our Brazil economics are the best they've ever been, still not where we want them to be, but the best we've ever been. So I think the organization has won the operational play and executed pretty consistently and pretty well. We've at the same time dramatically stepped up the productivity program. And it isn't separate. It's integrated. That's the part that everybody misses, it's totally integrated productivity program. And that will run easily through the end of the decade. Third, we have dramatically invested in R&D sales. All the things we need to get back on our strategy and our game. And then the second thing I would say is, and this is hard for you to see, but I'll pick a couple of examples. Take baby, okay. Round numbers about half the value creation in the world is in the US and North America. Three years ago the category wasn't growing, okay. In two to three years we've put ourselves in a position where we are growing share and leading in share growth, okay. And we haven't even brought all of our premium taped line or our pants to market and as I said, they're coming in the next couple of years. Take fabric, well, let me stick with baby. In Europe we continued to do well on a value creation standpoint. The game has changed. It's us and private label. We're adjusting to that game. In China we've been very straight up, okay. We still have the leading brand. We're stuck in the middle of the market. We went down, the consumer went up. Both the pants and premium taped lines are shipping as we speak. I could go through category by category, but fabrics the same story. We generated $1.4 billion in PODS. We are actively adding PODS capacity and expanding around the world, $330 million in beads. We've stimulated fabric conditioner growth 7%. But on the bottom end, as Jon described, we've been getting out of cheap commodity-like bagged powders. We've been getting out of laundry bars. We've been getting out of unprofitable additives. We've gotten out of bleach. So that's what you have to look at. And I guess the third point I would make is, the last thing I want to do is chase volume and share that has no value, or very little value. I do not want to get ahead of ourselves, and slam on the accelerator and try to grow faster on the volume or share side. We've been to that movie before, okay. So we're picking our spots. We're doing first things first. We're doing it with product that consumers really prefer. And here's the other thing that's really important. Most of the moves we're making are stimulating category and market growth, and then it becomes a win for your customer, your supplier and your partner, not just for the consumer and the company. I happen to believe the obsessive focus on value creation is incredibly important and we'll get the growth when and where we can, and frankly when and where consumers choose our brands and products. And we believe it's coming. We all wish it would come faster, but it doesn't make a whole lot of sense to try to do it faster. Your last question I guess implied was should we do something more dramatic. We think the portfolio that we're moving into actually has the potential to create a lot of value. And most of those businesses we've created significant value in the past, or are beginning to create significant value again. And we wouldn't be playing there unless we thought we could do it. We've looked at all the alternatives many times, okay, and this is the best alternative for us. It's the best alternative for share owners because it creates the most potential value.
Operator: Your next question comes from the line of Olivia Tong, Bank of America.
Olivia Tong - Bank of America Merrill Lynch: Good morning, thanks. As you look back at this year and the sales shortfall, can you talk through some of the key drivers? I mean was it more a lack of innovation or just innovation that missed their target? Or were the products not priced properly or was competition just better? And then what are your categories growing at now? And how do you think about market share growth for next year? And then just secondly, maybe can we talk through price mix in developed markets and where you think that will go next year? Particularly as we think about your longer term thoughts on pricing in North America with, if we look at baby and family care, you know Kimberly has been pushing price in tissue and diaper. So maybe if you could just address those two things. Thanks a bunch.
Alan G. Lafley - Chairman, President & Chief Executive Officer: Where to start. I'll take a shot at the last one. Yes, competition has been pushing pricing in the two examples that you mentioned. We continue to grow our share and our value creation in baby in the US. And as I hope I pointed out clearly enough in tissue/towel, we've just very smartly picked our spots, and we're very comfortable with holding sales as long as we create more value. We still have leading brand positions in the principal categories. And the fact of the matter is we're getting more than our fair share of value creation there, and that's the way we want to keep it. Look, on the first part of your question, Olivia, it's really none of the above, okay. It's really none of the above. And I'll just mention two examples because they're significant because the competitor thing is often mentioned. We had major competitive moves in big stronghold markets for us in fabric care in the last year, okay. One competitor moved into the Arabian Peninsula where we've had a long and strong position with consumers. The other as you know moved into the US at the largest retailer. In both cases our share is at or above the level that it was before the encroachment, okay, before their introduction. And in both cases we continued to create strong value. It's more an issue of timing of the moves that we'll be making category by category and the roll-off of the non-performing or under-performing parts of the business.
Jon R. Moeller - Chief Financial Officer: And I would say our guidance was low to mid singles. We delivered low singles. And the difference between the high and the low end of the range I think can largely be attributed to the macro dynamic in FX which you can sometimes characterize as impacting everybody. That wasn't the case this year as many of our competitors benefited significantly from FX. While we, it was a huge headwind for ourselves. And so that is a differentiator between firms in our industry and that is part of the reason that we're at the lower end of the range.
Operator: Your next question comes from the line of Steve Powers, UBS.
Stephen R. Powers - UBS Securities LLC: Good morning, guys, thanks. So A.G., it feels like with the Coty transaction and David's announcement this week as CEO, you really declared the recent phase of reshaping is in some ways done, and now it's time to move forward. But I guess my question is, building on your prepared remarks, what are you going to do differently as you move forward? Because while much of what you've outlined sounds reasonable and logical and makes sense, but also seems to John's Faucher's point like a continuation of what you've been doing and saying the last few years, and we haven't seen that return at least as measured on the top line. So what I'm looking for is less about what you're going to continue doing and more about where and how you and David are going to invest differently in the coming years. And I don't want to make this just about beauty, but as an example, what deficiencies are you trying to overcome when it comes to a brand like Olay and what is that going to cost?
Alan G. Lafley - Chairman, President & Chief Executive Officer: Okay. You know, unfortunately this isn't a continuation of what we were doing and I don't want to belabor that. But we were clearly over-expanded, okay, into developing markets and even into frontier developing markets, and you know what's happened there in terms of growth slowdown, economic and political volatility and the FX issue which Jon has mentioned a couple of times is real, and will continue through the end of this calendar year, okay. But it is a change. And the second thing is, we were clearly over-extended in several categories. The most obvious one was beauty where we got into service businesses and more fashion and trend oriented businesses. That didn't turn out to be a good fit for us. So I would argue we've changed quite a bit in the last two years. And the big change has been a dramatic narrowing of the focus and choices. And the other big change has been getting back to balanced innovation and productivity that really drives value creation. We were not on a value creation building strategy. We were on a short-term volume and share building strategy. That doesn't work unless you're creating value. The other thing I would say is, like it or not, and I don't like it very much either, it takes time to change direction. Our plans as I've said before are sold out six to 12 months with our customers. As you might imagine, when you've got plant and equipment and major investment involved, it takes time to set up behind major initiatives. So all of that has had to be done. And much of it is underway. And the last two points I'll make is it's more than words that we do well when we focus on following the shopper and consumer, not the competitor, shopper and the consumer. We do well when we grow categories and markets, okay. PODS and beads and concentrated HDLs grow the fabric care market. FlexBall and Swirl grow the shave care and grooming market. Shave care and grooming market was in the doldrums, not growing very fast. It's actually grown the last six months the fastest it's grown in several years, and I could go on there. But those are the differences. And I'm not a big fan of change for change sake. I'm a big fan of running plays that work. And I think one of the big questions behind the question is, how fast can we do this? And my view, very strong view, is I'm much more interested in getting it right, okay, and making changes that really sustain value creation, and making changes that lead to sustainable and reliable growth. And that's the path we're on. And by the way in the meantime, the reason we focus so hard on operating cash flow and free cash flow, so hard on our operating margins is so we could continue to return dividends and share repurchase to share owners while we are getting this company positioned to grow on a more sustainable basis.
Operator: Your next question comes from the line of Lauren Lieberman, Barclays.
Lauren Rae Lieberman - Barclays Capital, Inc.: Thanks. Good morning. A couple times you've mentioned significant reinvestments in sales force. So I was hoping you could talk a little bit about what's been done so far, what needed addressing. Is it particular channels, is it particular geographies? And then also how that fits into a kind of a chicken and egg conversation about having innovation in market and things you really want to get behind versus what sounds like maybe with the exception clearly of things like FlexBall and PODS, but some kind of like biding time new product work with the real exciting stuff to come in the next year plus. Thanks.
Alan G. Lafley - Chairman, President & Chief Executive Officer: Lauren, I guess the answer is sort of yes to your series of questions. Let me try to describe it as clearly and crisply as I can. When you choose to follow the shopper, you obviously have to commit coverage and resources to growing channels, and we've done that. So we're in a much better position for example in e-commerce than we were three years ago. E-commerce is growing 30% to 40%. We're pretty competitive. There's still upside opportunities and there's more to come with subscription and auto-replenishment, okay. So yes. Follow the shopper into the channels that are growing. E-commerce is one. Drug is obviously another one. Small box discounters. I could go on. That varies by region, by country and we've made and are making that shift. The second one is dedicated to category and to retail account sales support. And I think we've talked before that we've added a significant number of dedicated sales resources. We started in the US where we're doing it category to customer. We're doing it in China where it's essentially category to channel or customer. And as we continue to gain experience and as we continue to see the results, we are prepared to make those investments, okay. And that leads to a third and incredibly important point. This is a highly executional category. And a big part of how we do day in and day out is whether our distribution's right and whether our shelf's right. And we didn't talk much about this today. We touched on it in the Olay context, so I'll return to Olay, but we've now run a series of tests in countries, more than one country around the world, several countries around the world. And we're rolling out in the US first and then in China a dramatically simplified category-based and Olay-based shelf set. And without going into all the details, it fairly significantly reduces the SKUs. It focuses on the products and boutiques that consumers want. And in every case so far, knock on wood okay, we have lifted category sales with our retail partner, which they want and Olay has benefited by lifting its sales rate and share. So we'll see. But that kind of stuff is like incredibly important. And yeah, it's blocking and tackling but we got to get back to the blocking and tackling that works. Thank you.
Operator: Your next question comes from the line of Bill Schmitz with Deutsche Bank.
William Schmitz - Deutsche Bank Securities, Inc.: First of all, congratulations, A.G., on the retirement the second time around. But my real question, were you guys tempted at all to more dramatically rebase earnings? Because it sounds like some of the investments are being deferred for because of some of the macro environment. But it's kind of hard to manage a business based on currency, because it's out of your control. So I was wondering if you had more resources in the P&L, could you do both, sort of like drive the productivity and the cash flow and also reinvest and stop the share declines? Because it seems like on my math the categories globally grew 3% and you guys were flat. So that's quite a bit of share loss I guess this quarter. So I'd just love to hear your thoughts on that topic. Thanks.
Jon R. Moeller - Chief Financial Officer: A couple things there, Bill. One is we did not, in the year that we just completed, curtail investment to offset FX, and you'll recall actually that when the more significant FX impacts occurred, we took our guidance down specifically to protect the investments that we needed to make in the future. I think our guidance ranges that we've provided for next year, well in fact I know, they accommodate fully the investments that we're planning to make going forward. So, and I think there's further opportunity to drive productivity, which will provide another opportunity to reinvest, I mean productivity beyond even what's in our current plan. So I do not see these as contradictory in any way.
Alan G. Lafley - Chairman, President & Chief Executive Officer: Bill, we did not pass on a single growth and value creating investment that was brought to us. You just have to look at our CapEx. We're putting hundreds of millions, billions, into new plants. We're putting up a new concentrated HDL plant in China that opens this summer. We're putting up a new plant in Brazil. We're putting up a new plant in Sub-Sahara Africa. We've been racing to add PODS capacity. We're racing to put new Infinity and Radiance capacity in because of demand for our femcare lines. Across baby diapers, hundreds of millions to convert to pants and premium taped as fast as we can. Again, I'm not going to go into the details, but in our plans in the year going forward, we have 10%, 20% and more increases in media budgets. It's hard for you to see our investments in communication and media because most of it's being funded by reallocation. We're simply shutting down the unproductive non-working dollars and we're converting it to working, and we're getting a heck of a lot more out of our digital mobile search and social programs depending on market, depending on category, depending on brand. But we've invested in sales. Every year we invest in R&D. And the good news is, knock on wood, for the most part, and R&D's a risky business, product innovation's always a risky business, but so far the teams have been delivering very high rates of products that are delivering high levels of consumer satisfaction, and as I said earlier, with a fair amount of uniqueness and differentiation. The issue is it takes some time to get them to commercialization and then get them expanding. But we haven't slowed anything down. If anything, we've accelerated a bunch of these programs by three, six, and some by as much as 12 to 18 months.
Operator: Your next question comes from the line of Dara Mohsenian, Morgan Stanley.
Dara W. Mohsenian - Morgan Stanley & Co. LLC: Hey. Good morning. So first just a detail question. Jon, given David's start date is not until November as CEO, is this fiscal 2016 earnings guidance blessed by him, or might he choose to take a different view around the level of reinvestment needed behind the business and therefore earnings guidance? And the real question is, sorry to kind of belabor John's question earlier, but while it was helpful to hear that you're making more progress perhaps than is evident in the results, it's been a few years now of disappointing results. So I'd love to hear what's kind of plan B if you don't see the improvement in the business you expect going forward as you look out to fiscal 2017 and the historical changes aren't enough to get you to the TSR levels you desire. Maybe you can discuss some of the options at your disposal, whether it's the earnings rebates that Bill mentioned, to reinvest back behind the business, a split up, et cetera, but why those options don't make sense and how confident you are that the historical changes will actually drive improved results going forward. Thanks.
Jon R. Moeller - Chief Financial Officer: Well first of all, the strategy that underlies the guidance, the strategy and the plan are a company strategy and plan. That's all the way through the board. It's their strategy and plan. It's through the senior management team, which David has been an integral member of. And it's part of what the organization, every person in the organization's work plan is based off. So it's not an individual strategy or plan. It's a company strategy or plan. Having said that, I expect David will do what he's always done, and we'll do what we always do, which is wake up every morning and put our bare feet on the cold hard floor and optimize what's in front of us. And we live in a volatile world and we need to be responding to that on a daily basis. So we're not going to get locked or trapped in a very narrow element of our plan. We'll modify that as we need to. And I'm sure David will approach it that way.
Alan G. Lafley - Chairman, President & Chief Executive Officer: And I think, Dara, to the second half of your question, it's again a very simple answer. We'll change. Yeah, if it's not working, we'll change. Portfolio, we think it's 90/10, 95/5. They're never done, okay? They're never done. We will make acquisitions in the year or two ahead. We will probably have another divestiture or two in the year ahead. But we'll change. If the baby program doesn't work, we'll modify the baby program. If the fabric care program doesn't work, we'll modify the fabric care program. If we can't compete in a business after 20 years, after 5 years, after 10 years, we'll get out of the business. So I mean I think that's very straightforward.
Jon R. Moeller - Chief Financial Officer: And I think the last year is full testament to that. I mean you're right, the results aren't, haven't – we're not there yet. But moving out 60% of the brands in one year, that's not an indication of a company that's unwilling to embrace necessary change.
Operator: Your next question comes from the line of Chris Ferrara with Wells Fargo.
Christopher Ferrara - Wells Fargo Securities LLC: Hey thanks, guys. I guess just a couple of housekeeping, and then a real one. So first Mexico and Japan, right, both of those, like Japan because of the consumption tax timing and Mexico because of the backing out of promos. Can you talk about how those have progressed and how they might have affected the top line? On the tax rate going back up to 24% for next year, should we view that as the beginning of a more normalized tax rate for you guys? I guess, how are you thinking about it longer term? And then just lastly on the Coty deal, on the timing mismatch between the lost earnings from moving the business to disc ops and the share retirement, I guess because there's a year in between, right. As your shareholders, like how should we think about this deal truly being not dilutive, right, your ability to offset that. In other words, for that really to be true fiscal 2017, you can understand this is a long way out, fiscal 2017 needs to be a way above algorithm year because the share count is going to be so low. So, I know you're not going to guide out there, but just conceptually, would that be the plan? Is that what people should think about, that the share count moves that much lower, therefore 2017 will be a big bounce back year from an earnings standpoint all else equal? Thanks guys.
Jon R. Moeller - Chief Financial Officer: I'm going to take those in reverse order Chris. On the Coty transaction and the impacts, there's obviously some accounting changes that move things between continued operations and discontinued operations, but until the day that deal closes, all of the cash that those businesses generates goes into our bank account. So in terms of real economic impact next year is, all the cash is ours. And then in the following year, which is what we committed to when we had the call a couple weeks ago, we said post close there would be no dilution going forward, and that's still our plan. So that's kind of Coty. The tax rate at 24%, I think certainly the rate that we've been at is lower than we're going to have going forward just because we've been, as we've been successfully concluding RS(76:51) releasing reserves, and those are down to pretty low balances. So the 20%, I would call it 23% to 25% as being a normalized rate going forward. On Mexico and Japan, we saw a sequential improvement in Mexico, and are really getting to a point where that will be behind us. But in the quarter that had a 20 basis point impact in terms of top line growth. And then Japan obviously went the other way, and was a help to the quarter versus the year-ago softness.
Operator: Your next question comes from the line of Javier Escalante with Consumer Edge Research.
Javier Escalante - Consumer Edge Research LLC: Hi, good morning, everyone. I guess I mean we all kind of like gyrating again around the same point which is, what it seems to be a lack of balance between top line growth and delivering very strong EPS growth, however theoretical because it's all currency neutral growth. So I wonder whether you have explained to us what you are doing with pruning the portfolio and how that impact top line growth. Because you had mentioned here things that are not divested, that you have been shutting down and cutting. That may be optically worsening the fundamental of the business. Thank you.
Jon R. Moeller - Chief Financial Officer: Yeah, so a couple things here. One and I think it's important to understand the order and the sequence in what we're trying to turn this ship around. And growing before we have the right structural economics, it doesn't create any value. So we're trying very hard through the productivity program, through the work we're doing in FX-impacted markets to ensure that we have the right basis to grow from. That doesn't mean we're not seizing opportunities that exist, but we're being choiceful and we're sequencing. And then when that growth comes, it's going to be worth something. The, I guess I just, you know.
Alan G. Lafley - Chairman, President & Chief Executive Officer: Yeah and I guess on the second half of your question, Javier, the answer is yes. We tried to give you two or three examples. The family care or tissue/towel example, we were quite okay with a 100 index on net sales because we made in our view a smart decision to get out of over time, which is as fast as we can, unprofitable conventional paper businesses in Mexico and to replace that with lower sales but much more structurally attractive exports of our best products from the US into Mexico, which will be purchased by certain consumers and by certain customers and we talked about being choiceful about which initiatives we took in which sequence. And we're just not going to move until we think we have a very good chance of winning with consumers and shoppers and until we have the economics right, okay. We mentioned the laundry example because that is a big one. And while we've been charging forward on PODS, concentrated heavy duty liquids, machine wash powders, all trade up, all preferred products by consumers, all growing in most developing markets, not just developed markets. We have been pruning Tier 4 and some Tier 3 bagged commodity-like powders. We've been pruning laundry bars, as Jon said. We have gotten out of commodity bleach. We have dramatically pruned our additives portfolio and just kept the ones that we thought were strategic and profitable. So yes, that is going on. And the point we were trying to make is while Jon and I and many others have been working on the company portfolio, the business unit leadership has been working on their portfolio. Some of it has been sold off. Hair care was an example, okay. Some of it has been shut down or otherwise resolved. And that just keeps getting better.
Jon R. Moeller - Chief Financial Officer: And I just want to make sure, one last point on this, I want to make sure we're being understood. We know the top line has to grow.
Alan G. Lafley - Chairman, President & Chief Executive Officer: (81:32)
Jon R. Moeller - Chief Financial Officer: I've shown you charts before. We'll probably show another one at Barclays, which is the exact chart that we talk to our organization about internally, which shows that we cannot get to our OTSR objectives with only bottom line growth. We cannot get to our OTSR objectives equally without only top line growth. That's the beauty of the metric. It's a balancing metric. And so we get it.
Operator: Your next question comes from the line of Ali Dibadj from Bernstein.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Hey, guys. So you sound very different than I would have hoped on the call today or on CNBC this morning. There's still a lot of defiance. There's still a lot of confidence, it feels like. And look, all the frustration we're all feeling, I feel as well probably times 10. You're kind of brushing off the tough questions and maintaining this trust us, it'll turn, it'll turn. But just let me offer you a look through the lens of a shareholder, right, who you are as well. And you see what the stock price has done, and you look at organic sales growth and it's dismal and it's getting worse, and you admit that. And the cost savings are good but they seem too small and they seem like they're slowing in some cases, like the net part of it is slowing. The transaction is complex and tough and I get it, but maybe it's not as big as it should be, and you have a CEO with respect to, at least versus a lot of people's expectations of leaving a little early. You missed four or five years in a row, and it just feels like there's still this trust us and things will change because we're divesting things. But I still struggle to see what's actually going be different. I get you're going to get rid of 14% of your sales, 15% of your sales and 6% of your operating profit. But is that really it? Is that 1% incremental growth you're going to get out of getting out of those businesses, is that what we're hoping for as shareholders? And I guess how long do you want to wait? How long do you want us to wait before you do think about bigger changes? I understand that you don't want to go there now, but how long do we have to wait? And particularly on this kind of new normal of more active shareholder, I struggle with what keeps us at bay or what keeps us pleased.
Alan G. Lafley - Chairman, President & Chief Executive Officer: Do you have a recommendation, Ali?
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Well I think plan B, which is seriously think about breaking up the company. That's very complex, is a viable option. It sounds like you guys have looked at it and I don't understand why it hasn't worked. Because the stuff you're doing seems to make sense. All right, the stuff you're doing that we listed, cost cutting and trying to innovate more and closing price gaps where you have to and raising accountability, all these things from a classic strategic consulting thoughtful way make sense, but it's just not working. So we all are frustrated but we also feel for you because the strategy is possibly the right one. Which might suggest there's another, bigger solution here, right? Which is it's just too big to run.
Alan G. Lafley - Chairman, President & Chief Executive Officer: Okay.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Maybe perhaps you're not even a growth company anymore and you have to think about it differently from just being growth. I mean there are other options that we don't hear being contemplated or argued against. It's just a trust us. And I think that's at least my frustration.
Alan G. Lafley - Chairman, President & Chief Executive Officer: Okay. Let me just say a couple of things because we may see things differently, although I want to make sure that you understand and everyone understands that we consider every option and run every analysis. First point, the company is 40% to 50% less complex and I don't think that's understood. It's just dawning on us that that's incredibly important, okay. The second thing is the time horizon, okay. Our time horizon is more consistent, more reliable, more sustainable growth and value creation and we believe that you build a foundation and you build this sort of a building block at a time. And I would argue that you just have to look at what we've been able to do with half of our program in place in North America in baby diapers, and you could, without a great leap of faith, consider that we might be able to do the same again in China where we still have the leading brand, when we bring a consumer-preferred pull-on or pant and when we bring the next generation of premium taped diapers in a market where new moms are flocking to imported Japanese premium products that we know how to compete with. The same thing in fabric care. You could conclude that we have gotten a stubborn category that wasn't growing in the US growing again. We have been able to trade new consumers into a mature category, trade them up, grow with retailers and the supply chain. You can see what we've done in Japan, okay, where we've grown significantly. And you could say yeah, it really does take 18 months to put up a brand new manufacturing plant, and we are shipping, okay, in China. And I could just go around the world. Hair care, we have totally redone the product and technology program and we've positioned ourselves to start shipping the first product. So I mean I understand the point. Just two more comments on the breakup and then impossible to manage. We reverse engineered and analyzed in detail the last decade exit from the food and beverage business. We did it internally and we did it with outside objective view. And we concluded that we generated significantly more value for shareowners in our focused and deliberate step at a time withdrawal from segments of that industry. And it was about the same size exit as the one we're going through now. I can't remember the precise number, Jon, but it was probably $6 billion or $7 billion. So we're all about optimizing value for shareowners, but it's over a longer time horizon I think than you are. And then I think the last question will always be a question, and that is can the leadership and management team manage and deliver. And we think we can. It's a new team. David and I are going to be side by side for the next several months, year or more. And we think we're to the point where a lot of this is operationalization, which is incredibly important, and just good execution, consistent and excellent every day. So I understand the point about patience and impatience. I think as Jon said earlier we're in violent agreement. We want to grow the top line as much as anybody on the call. And we just think that one step at a time, it's coming. And oh, by the way, we've got two, we got another several months of tough sweating ahead because the environment in developing markets and this whole FX thing isn't going to change. We're just trying to be realists here.
Operator: Your next question comes from the line of Joe Altobello with Raymond James.
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: Hey, thanks. Good morning. Just one quick one in terms of the transition. Obviously when you guys come out of this, you're going to look a lot different. You mentioned, A.G., you're going to be 40% to 50% less complex, in theory, at least on paper, a faster growing, more profitable company. But can you talk about the capital intensity of Procter & Gamble two or three years from now? Are you going to be a lot less capital intense given the new business, or the new portfolio that you'll have at that point? Thanks.
Alan G. Lafley - Chairman, President & Chief Executive Officer: No. No, we won't, okay. I'd said, Joe, we're in a period where we're clearly investing, okay, and returning but replatforming of our Grooming business, which has enabled us to introduce the Venus upgrade in like six months after the male upgrade, the investments we're making in the new product innovation in fabric, the major investments we're making in new product in baby. And as Jon said, putting up the six new mixing and distribution centers in North America. And we're rolling, we'll be rolling across Europe over the next several years, finish the job in North America over the next several years and we'll move on to developing markets with getting our supply chain as effective and efficient as streamlined as possible. So I don't think you're going to see an increase. We would hope for it to level out in time, but I would say for the next one, two, three years, we're going to be investing at about the current rate in CapEx.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect. Have a great day.